Operator: Hello, and welcome to the Atmos Energy Corporation Fourth Quarter Earnings Conference Call. [Operator Instructions]. I will now turn the conference over to Dan Meziere, Vice President of Investor Relations and Treasurer. Please go ahead.
Daniel Meziere: Thank you, Jay. Good morning, everyone, and thank you for joining us.  With me today are Kevin Akers, President and Chief Executive Officer; and Chris Forsythe, Senior Vice President and Chief Financial Officer. Our earnings release and conference call slide presentation, which we will reference in our prepared remarks, are available at atmosenergy.com, under the Investor Relations tab.  As we review these financial results and discuss future expectations, please keep in mind that some of our discussion might contain forward-looking statements within the meaning of the Securities Act and the Securities Exchange Act. Our forward-looking statements and projections could differ materially from actual results. The factors that could cause such material differences are outlined on Slide 37 and are more fully described in our SEC filings.  I will now turn the call over to Kevin.
Kevin Akers: Thank you, Dan, and good morning, everyone. We appreciate your interest in Atmos Energy.  As Saturday is Veterans Day, I would like to take this opportunity to say thank you to the men and women who have served in our Armed Forces and those currently serving. Approximately 300 of our Atmos Energy teammates are a part of the nearly 20 million Americans who bravely served our country. Thank you all for your service.  Yesterday, we reported our earnings per share of $6.10, which represents the 21st consecutive year of earnings per share growth. Chris will provide some additional color around our financial results later in the call.  I will begin today's call highlighting a few of the many accomplishments achieved in fiscal '23 and we'll close with a few updates on key pipeline projects and some thoughts about fiscal '24.  This past October 18 marked Atmos Energy's 40th anniversary as an independent company. We continue to build on the past and focus on the future, and be guided by the simple values laid out by our Founding Chairman, Charles K. Vaughan, of honesty, integrity and good moral character, and supported for more than a quarter of century by our culture atmosphere. These values, combined with the laser focus of our 5,000 dedicated employees on our vision, continue to benefit our customers, our communities and the environment.  I've said it before, and I will say it again today, our employees are the heart and soul of Atmos Energy and provide the foundation for the sustained long-term success of our company.  In fiscal '23, we continue to execute our proven strategy of operating safely and reliably, while we modernize our natural gas distribution, transmission and storage systems. Our fiscal '23 capital investment of over $2.8 billion, supported the modernization of our distribution and transmission systems through the replacement of over 900 miles of distribution and transmission pipe and replacement of more than 47,000 service loans. This investment also supported the strong economic development we continue to see in our service territories.  In fiscal '23, we added nearly 61,000 new customers, with over 46,000 of those new customers located here in Texas. And according to the Texas Workforce Commission, the state continued its streak of record employment. For the 12 months ended September, the seasonally adjusted number of employees reached a new record high at over 14.5 million. Texas again added jobs at a faster rate than the nation over the last 12 months, adding nearly 436,000 from September 2022 to September 2023.  And according to a study recently conducted by Site Selection Group, the Dallas-Fort Worth Metroplex is projected to add over 674,000 people by 2028, to reach 8.5 million, while the Austin Round Rock Georgetown Corridor is projected to add over 324,000 people by 2028, to reach 2.7 million.  In fiscal '23, we continue to see good commercial growth as well, adding nearly 3,000 new commercial customers. Our industrial demand for natural gas in our service territories has also remained strong. In fiscal '23, we added 55 new industrial customers with an anticipated annual load of approximately 19 Bcf, once they are fully operational. The 19 Bcf of annual usage is equivalent to adding nearly 367,000 residential customers on a volumetric basis. This growing demand from all of our customer classes demonstrates the value and vital role natural gas plays in economic development across our service territory.  We continue to enhance the safety, reliability, versatility and supply diversification of APT system to support this growth during fiscal '23. We completed Phases 2 and 3 of our 4-phase, 104-mile Line S-2 project. As a reminder, Line S-2 brings supply from the Haynesville and Cotton Valley shale place, to the east side of the growing DFW Metroplex.  Additionally, we completed the final 63-mile portion of our 137-mile, 36-inch, Line X integrity replacement project. We also completed our third salt-dome cavern at our Bethel storage facility. This cavern provides additional support to APT's operations and adds over 6 Bcf of new working gas capacity.  We remain on track to complete Line PC by the end of the calendar year. This 22-mile, 36-inch line will connect the southern end of APT system with the 42-inch Kinder Morgan Permian Highway line that runs from Waha to Katy. Our new line will support current demand and the forecasted growth, as well as increased supply diversity to the north of Austin in both Williamson and Travis Counties in Texas.  Our customer support associates and service technicians continued their exceptional customer service, and once again received a 98% satisfaction rating from our customers. The Atmos Energy team continues to build trust as they help nearly 62,000 customers receive over $29 million in energy assistance funds. Thank you team for taking exceptional care of our customers each and every day.  Finally, through our fueling safe and thriving communities initiatives, our employees made a difference in the lives of others by supporting schools and students with books, meals, Macs, as we also honored our health care workers, first responders and helped our neighbors in need by supporting more than 1,409 profits.  And for over 200 local food banks and shelters, the financial and voluntary resources our team provided translated into nearly 5.5 million meals being served to our neighbors in need. And we continue to partner with local Habitat for Humanity organization to provide families with Zero Net Energy Homes. These homes are designed to produce more energy than they consume through the use of high-efficiency natural gas appliances, rooftop solar panels and advanced insulation materials.  We completed 2 new Zero Net Energy Homes in fiscal '23, and we'll have completed 12 total ZNE homes by the end of fiscal '24. These homes demonstrate the value and vital role natural gas plays in helping customers reduce their carbon footprint in a cost-effective manner, and is another way Atmos Energy fuel safe and thriving communities.  I'm very proud of Atmos Energy and our full team and their many accomplishments in fiscal '23. I will now turn the call over to Chris to discuss our fiscal '23 financial results, our fiscal '24 guidance, and an updated 5-year plan through fiscal '28. Chris?
Christopher Forsythe: Thank you, Kevin, and good morning, everyone. Our fiscal '23 earnings per share of $6.10 increased 8.9% over fiscal '22. Our performance continues to reflect the successful execution of our operating, regulatory and financing strategies.  In fiscal '23, we implemented $269 million of annualized operating income increases excluding the amortization of excess deferred tax liability. These outcomes combined with outcomes received in fiscal '22, increased operating income by $254 million this fiscal year. Strong customer growth, higher consumption and rising industrial load in our distribution segment increased operating income by an additional $30 million.  Consolidated O&M increased $55 million to $765 million, largely driven by higher levels of service orders and increased head count to support our growing service territory, primarily in Texas. This thing came in at the lower end of our updated guidance range as we saw some moderation in inflation in the third and fourth fiscal quarters.  Fiscal '23 capital spending of $2.8 billion represent a 15% increase over the prior fiscal year, 85% of that spend was dedicated to improve the safety and reliability of our system. As a result of this spending, our rate base increased by 18% and estimated $16.6 billion as of September 30.  Finally, we completed $1.6 billion of long-term financing and completed the securitization process in Kansas and Texas. We finished the fiscal year with an equity capitalization of 61.5% and approximately $2.7 billion of available liquidity, which leaves us well positioned to support our future operations.  Looking forward, our strategy continues to focus on system modernization through disciplined capital spending, seeking timely recovery of our costs through our regulatory mechanisms, while financing our operations using a balance of equity and long-term debt to preserve the strength of our balance sheet, mitigate financing risk and minimizing the cost of financing to our customers. We anticipate the execution of this strategy will continue to support 6% to 8% annual earnings per share and dividend per share growth.  For fiscal '24, we anticipate earnings per share will be between $6.45 and $6.65, and we anticipate fiscal '28 earnings per share to be in the range of $8.35 and $8.75. Additionally, Atmos Energy's Board of Directors approved a 160th consecutive quarterly cash dividend as an indicated fiscal '24 annual dividend of $3.22, an 8.8% increase over fiscal '23. This plan anticipates total capital spending of approximately $17 billion. This level of spending will continue to support rate base growth of about 11% to 13% per year, which is expected to increase estimated rate base by approximately -- to approximately $29 billion in fiscal '28.  In addition to our capital spending, another significant use of cash will be for taxes. We expect to refund $300 million of excess deferred tax liabilities over the next 5 years, with approximately 70% of this amount be funded during fiscal '24 and fiscal '25. And we anticipate we will become a material federal cash tax payer within the next 3 years because of 15% corporate minimum tax that was included in The Inflation Reduction Act. Our O&M spending will continue to focus on compliance-based activities that address system safety.  We have assumed O&M inflation of 3.5% annually through fiscal '28, from fiscal '23 levels. For fiscal '24, we anticipate O&M to range from $780 million to $800 million. This 5-year plan includes approximately $10 million of incremental long-term debt and financing, which has been reflected in our earnings per share guidance for both fiscal '24 and fiscal '28.  Following completion of our $900 million long-term debt issuance in October, our weighted average cost of debt stood at 4.1%, and our debt maturity schedule is very manageable. Our weighted at maturity is 18.4 years, and our next significant tranche of debt is not scheduled to mature until June of 2027.  Additionally, our financing strategy does not contemplate material exposure to floating rate interest rates. To further mitigate interest rate risk, we have $900 million in forward starting interest rate swaps in place to hedge portions of our anticipated long-term debt issuances in fiscal 2025 and '26. The effective weighted average rate of these swaps is 1.59%.  Finally, we intend to continue utilizing our ATM program to meet our equity financing needs. As of September 30, we have priced $467 million which represents a significant portion of our anticipated fiscal '24 equity need. Handling recovery of our costs remains a key component of our strategy. We are off to a good start in fiscal '24.  Since the beginning of the fiscal year, we had implemented $113 million in annualized operating income increases in our Distribution segment, and we have 5 filings in progress taking about $137 million. Included in this amount is $107 million requested in APT's general rate case.  On October 24, APT and the intervening parties filed a comprehensive settlement agreement with the Texas Railroad Commission. The settlement proposes a rate base of $4.3 billion, an authorized rate of return of 8.49%, equity capitalization of 60.44% and an authorized ROE of 11.45%.  We anticipate the settlement agreement will be on the commission's agenda for the December 13 meeting. If approved as filed, this settlement would result in a $27 million increase in annualized operating income. We remain confident the execution of this strategy, will continue to support our ability to modernize our system and to support the continued economic development in our service territories. Our customers will continue to benefit from this strategy as we expect our average residential bill will remain one of the most competitively priced utility bills in our customers' health.  Thank you for your time this morning. I will now turn the call back over to Kevin to say some closing remarks. Kevin?
Kevin Akers: Thank you, Chris. And as you've heard this morning, a successful fiscal '23 has us well positioned for fiscal '24.  As part of our $2.9 billion fiscal '24 capital spending plan, APT will continue to focus on enhancing the safety, reliability, versatility and supply diversification of its system. APT will continue to work on the remaining 40 miles of the Line S-2, 36-inch pipeline project, which we anticipate having the final phase in service by December of 2024.  In fiscal '23, APT began a multiphase Line WA Loop project that will install approximately 80 miles of 36-inch pipeline supported by the northern part of the system that serves the Dallas-Fort Worth Metroplex. Phase 1, approximately 24 miles is anticipated to be completed by the end of this calendar year. Design is underway for Phase 2, which will install an additional 40 miles and we anticipate that Phase 2 will be placed in service by the end of calendar year 2025. Phase 3 will include the installation of the final 16 miles, and we anticipate that, that phase will be placed into service by the end of calendar year 2026.  Additionally, in fiscal '24, APT will begin construction of a 54-mile, 36-inch pipeline from our Bethel storage facility to our Groesbeck compressor station to support forecasted growth in Williamson and Travis Counties in Central Texas. We anticipate that the project will be placed in service by the end of calendar year 2025.  Our gas supply team has us well positioned for this upcoming heating season to supply reliability and at competitive prices. Our gas supply team has hedged 50% of our winter supply needs, through a combination of storage and financial contracts, at a weighted average cost of $3.31.  I'm very excited about the direction and long-term stability of Atmos Energy. The foundation has been set with a proven safety driven strategy accompanied with organic growth that yields 6% to 8% fully-regulated earnings per share and commensurate dividend per share growth, supported by a strong financial profile. We operate in a diversified and growing jurisdictional footprint that is supportive of investment in natural gas infrastructure, with 96% of our rate base situated in 6 of our 8 states that have passed legislation in support of Energy Choice.  We have a long runway of work to support the planned $17 billion in capital spending over the next 5 years as we continue to modernize our natural gas distribution transmission and storage systems.  As Chris noted, most of our fiscal '24 financing costs are known, and we have hedged $900 million of our financing needs beyond fiscal 2024. The strength of our balance sheet and available liquidity will continue to support our operations in a cost-effective manner for our customers.  Focusing on long-term sustainability has always been a part of our strategy as reflected in the vital role we play in every community, safely delivering reliable and efficient natural gas to homes, businesses and industries to fuel our energy needs now and in the future.  We appreciate your time this morning, and we'll now open the call for questions.
Operator: [Operator Instructions]. Your first question comes from the line of Nick Campanella of Barclays.
Nicholas Campanella: Congrats on the anniversary here. So I guess to start, you've been fairly programmatic in how you issue equity and acknowledging kind of 2024 is largely priced here as well. How do we kind of think about future issuances just given the size of the capital plan seems to go up every year, that's likely going to pressure equity higher. Are you still very comfortable that you can do this all with ATM? Or would you consider other means?
Christopher Forsythe: Nick, it's Chris. Yes, right now, we remain pretty confident that we can still use the ATM to fund those equity needs. As you know, we have a balanced financing strategy. We're certainly looking at a number of factors that's -- cost of the customer, the strength of the balance sheet which supports credit ratings, credit facilities, our ability to finance attractively in the capital markets and equity is a component of that. So we're certainly looking at that particular tool. I mean, we have other tools available to us if needed. But at this time, given the liquidity that we have in the market, we believe we can satisfy those needs through the ATM.
Nicholas Campanella: Got it. That's super helpful. And then congrats on the APT settlement. I guess just are you reflecting that current settlement outcome in the 6% to 8% guidance here? Or do you wait until December 12?
Christopher Forsythe: Yes, that has been contemplated in the guidance we issued yesterday.
Operator: Your next question comes from the line of Richard Sunderland of JPMorgan.
Richard Sunderland: Am I coming through clearly?
Kevin Akers: You are.
Richard Sunderland: Great. Following up on the financing side, just curious if 50% to 60% equity capitalization is still the target to think about? Or is 60% more appropriate given the outcome on the APT side?
Christopher Forsythe: So we look at the balance sheet holistically across all of our jurisdictions, as well as what we need to continue to support our credit ratings. So we have skewed towards the upper end of a 50% to 60% range now for the last few years. we're comfortable to be in that range, and that's kind of where we anticipate being over the next 5 years.
Richard Sunderland: Understood. And then turning to the O&M side, you laid out a little bit of this in the script, but just curious if you could parse the recent O&M trends a little bit more. How much of 2H is moderation versus timing? And then how much conservatism is or is not baked into that 2024 outlook?
Kevin Akers: I mean, again, we've been at this 3% to 3.5% projection on O&M now for quite a long time. We feel comfortable in that range. As you know, we've used different levers over time when needed to mitigate any of the O&M pressures that we see coming down the road. And again, with some of the additional pullback in some of our service territories in the housing market, we've seen line locates costs come down, we've seen other compliance costs come down. So we remain confident as we head into '24 right now that what we have projected out there, of the $780 million to $800 million, we feel very confident in.
Operator: Your next question comes from the line of Gabe Moreen of Mizuho.
Gabriel Moreen: Maybe if I can also stick on the O&M topic just a little bit. You addressed it a bit, but I noticed that the long-term O&M guidance went a little -- smidge higher, but it sounds like you're very confident at least in the near-term outlook for sort of your O&M cost. Can you just address that long-term guidance in the context of sort of what you're seeing near term and how you felt? Maybe a little -- needed to nudge it up a little bit?
Kevin Akers: Yes, again, I'll reiterate what I said previously. There towards the last quarter, we saw some of the line locating requests drive down just a few percentage points in some of our jurisdictions. Even though here in Texas, we saw an 8% increase. So that's what we were looking at there. That certainly reduced some of our compliance costs. Then again with some of our other compliance activity and timing of those sort of things, we think we've got a good handle on what the next year, the 3- to 5-year window looks like on planned O&M activity, compliance activity, those sort of things. So those were some of the drivers we were looking at that came out of the last quarter and allowed us to stay in that 3% to 3.5% range and at $780 million to $800 million O&M.
Christopher Forsythe: Yes. And Gabe, I'll add to that. There's a lot of compliance work that we still have to do as a utility. The rules continue to become more stringent. So we're anticipating some of that in the 3.5%. A little bit to higher -- a little bit higher inflation than we've had in the past, although it has moderated somewhat in the third and fourth quarters. And as a final reminder, with our annual mechanisms that we have in several of our jurisdictions, we had the opportunity to recover that fairly timely, generally within a year. So it shouldn't be a significant drag if approved for those annual mechanisms as we anticipate.
Gabriel Moreen: Got it. And maybe if I can also ask in the context of becoming a cash taxpayer over the next couple of years. Is there anything you can do kind of as an offset, whether from a corporate level or from a regulatory standpoint, to offset maybe some of the cash impact there?  And then maybe also bigger picture, just what you're assuming sort of on interest rates and recoverability from a cost of capital standpoint, over the next couple of years given how dramatically rates have shifted, I guess, since the last 5-year uptake?
Christopher Forsythe: Sure. I'll address the cash taxes first. First, we've got excess deferred taxes as I mentioned. That's beginning to tail off kind of after a couple of years. The IRA for us expects we should kick in, in the mid part of the 5-year plan, and that's predicated on just to the continued growth of the company. Fortunately, there aren't a lot of levers for us to pull. It's really a 15%, or you end up becoming a cash taxpayer as we begin to burn off some of the NOL shield that we have. And that's been contemplated in our plan.  So we knew going into this plan that we had either 15% or the fact that NOL shields were going to be becoming lower. So there's not a lot of levers we can do. Our tax team is obviously looking at opportunities for tax planning strategies. It's too soon to say if there's anything material that will come from that. But right now, we have conservatively estimated what will be a full cash -- federal cash tax payer have in the middle part of our 5-year plan. With respect to interest rate costs, we certainly have reflected what we believe are current market conditions in the 5-year plan. I'll also just remind you that we have the $900 million in hedges at a weighted average treasury cost of about 1.59%. That's a significant portion of our anticipated FY '25 needs and a fair amount of our anticipated FY '26 need.  So AMT will continue to look for opportunities to lock in some hedges, but given the higher elevated or where the interest rates are right now, it may not be as prudent or as attractive to do so as it was a couple of years ago, when rates were in the sub-2% range.
Kevin Akers: Yes. I just want to reemphasize that the plan does reflect, as Chris said, they're us becoming a tax cash payer out in that time frame. So that's all backed into the plan that's out there.
Operator: Your next question comes from the line of Julien Dumoulin-Smith of Bank of America.
Julien Dumoulin-Smith: Just maybe picking up where Gabe left off there. Just on the question of taxes, if you don't mind. What about -- for income statement purposes, how do you think about effective tax rate here? I mean, obviously, the comment is about going to a full cash taxpayer here in the next 3 years, certainly relevant from financing. But how do you think about the uptick, obviously, from '23 to '24, and then from there on out, in terms of the effective tax rate on the income statement. Obviously, I get that some of that over time is going to be subsumed back into the regulated cost structure. But I'm just curious on how you would set expectations and if there's any kind of question about recovery and timing there, as well in the next few years as you see that uptick?
Christopher Forsythe: Yes. We'll certainly see an uptick in the effective income tax rate. Again, that's being influenced right now, certainly the last 2 or 3 years with these excess of deferred tax liabilities. Our effective tax rate 2 years ago was in the 11% range, it ticked up closer to 15%. And we'll end up being in that 22% to 23% range here in the not-too-distant future. Again, all of these costs, we believe, are recoverable, including the IRA corporate minimum tax and our regulatory and tax teams are working on strategies right now to begin dialogue with those regulators to educate them on where that is in terms of what the law requires and then what the recoverability might look like.
Julien Dumoulin-Smith: Got it. Right. So regulatory strategy on the come here but not overly concerned about what that does in terms of, like maybe a lag headwind here in, call it, '25 and '26 as you kind of get to that more normalized level, if you will?
Christopher Forsythe: Yes, correct. Not material impact. And again, all that's been reflected in the guidance for FY '24 through to FY '28.
Julien Dumoulin-Smith: Excellent. Very much appreciated. And then just on the O&M side, I just wanted to understand, as you think about that normalized, I think you said 3% to 3.5%. Like, how do you think about what is going on in the context of line locates within that composition through the future? I mean, obviously, that's been elevated here. You saw a little bit of reprieve. How do you think about that contributing to that normalized level versus this just being the new norm? Or is there an elevated line locate just embedded in that 3 to 3.5 year?
Kevin Akers: Julien, it's part of our ongoing strategy with whether they're contractors or internal labor. We always look at what's going on in the market where we have contracts as we look at those on an annual basis to see if they need adjustment, forecasted work for them, and any strategic opportunities we may have to in-source opportunities there to offset some of the cost taking a longer-term view.  So all those options remain on the table as they have in the past, but we continue to look at these on an annual basis. So that's where we get the comfort in that range that we put out there right now.
Julien Dumoulin-Smith: Okay. Fair enough. But it's not like you have some meaningful further uptick in line locates or something like that, that we should be aware of here?
Kevin Akers: Now again, with the growth that I talked about on the front end and the population and trending that we've seen out there, that's all been baked into the plan out there, all the labor or anticipated labor, the current contracts we have in place, the labor rates that are out there right now, we have baked all that into the plan.
Christopher Forsythe: Yes. And the 3.5% annual increase is off of FY '23 levels kind of starting at that elevated level already.
Operator: Next question comes from the line of Ryan Levine of Citi.
Ryan Levine: I want to follow up on the O&M getting a little more granular. In terms of the outlook, it's more on an annual basis. But can you speak to maybe the seasonality attributes of the O&M outlook. Should we look to -- this most recent fiscal year as indicative of seasonality trends on a go-forward basis? Is there anything else to call out?
Christopher Forsythe: Yes, there's that. On the O&M, there is some element of seasonality. It's difficult to predict because we are managing our O&M over the entire fiscal year. So for example, like last fiscal year, where we had -- at the start of the year, we had crews in place, kind of doing some in-line inspection work at APT at the end of fiscal '22. It made good business sense to go ahead and continue that work into fiscal '23, although it had been planned originally to be in the back end of fiscal '23, rather than to demobilize the crews and remobilize 6 or 9 months later, we needed budget, we decided to go ahead and discontinue forward. So that was an operating decision that we made that we thought was in the best interest of the company and our customers. And so we make those decisions on a day in and day out basis. So it's difficult to predict. Certainly, those larger expenses when those could occur within a quarter. But certainly, we're managing to our full fiscal year results. Same thing on line locates. Kevin talked about seeing some moderation right now that we're seeing, but 6 months from now, we can be in a different environment and line locating may pick up for any number of reasons. And we, again, try to manage that on a full fiscal year basis. But quarter-by-quarter, we're not as focused on how to get this work done in a quarter unless there's a specific time requirement. But again, we are well ahead of our compliance deadlines which gives us the opportunity to manage from a full fiscal year basis.
Kevin Akers: Yes, Ryan, the other thing I'd say, Chris, is spot on with that is, we do -- given the economic growth that we've seen across our service territory, there are times when jurisdictions would want to pull forward projects, whether they're water, sewer related or there's fiber things going on, fiber projects out there that we'll have to move and adjust to as well based upon their time line. It may not be seasonably ratable, but it may be in a quarter it may show up. So again, we have to get the work done when we need to get the work done and work with our communities to make sure we're in concert with their projects as well.
Ryan Levine: Great. And maybe just one other. In terms of within Texas with the Railroad Commission, is there any discussion around consolidating jurisdictions or regulatory constructs as you negotiate outcomes on a go-forward basis?
Christopher Forsythe: Yes. We're aware of some filings that are out there kind of looking at that opportunity. We're looking at those right now and seeing at that, would make -- potentially makes sense for us. But we're aware of what others are trying to do at this point in time.
Operator: There are no further questions at this time. I will now turn the call over to Dan Meziere for some closing remarks.
Daniel Meziere: We appreciate your interest in Atmos Energy, and thank you again for joining us this morning. A recording of this call is available for replay on our website through December 31. Have a great day.
Operator: This concludes today's conference call. You may disconnect.